Operator: Good day, ladies and gentlemen, and welcome to the Orion Energy Systems Fiscal 2021 First Quarter Conference Call. At this time, all participant lines are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, today's conference is being recorded. I would now like to turn the call over to Bill Jones. Sir, you may begin.
Bill Jones: Thank you and good morning. Orion’s CEO, Mike Altschaefl will open today's call with an update on the current status of the business, and some overall highlights. Orion’s CFO, Bill Hull will then review some additional financial items. And then we will open the call to questions. An archived replay of this call will be available later today in the Investor Relations section of Orion's corporate website. This call is taking place on Wednesday, August 5, 2020. Remarks that follow and answers to questions include statements that the company believes to be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally will include words such as believe, anticipate, expect, or words of similar import. Likewise, statements that describe future plans, objectives or goals are also forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different than anticipated. Such risks include among other matters that the company has described in its press release issued this morning and in its filing with the Securities and Exchange Commission. Except as described in these filings, the company disclaims any obligation to update forward-looking statements. And with that I will turn the call over to Mike. Mike?
Mike Altschaefl: Thanks, Bill. Good morning and thank you for joining today's call. In our Q4 2020, reporting about two months ago, we included substantial communication in our release and our prepared remarks to provide greater detail on our strategy, market positioning and the steps we are taking to position Orion for long-term growth. Today, I will provide a brief overview of our Q1 2021 performance, which was significantly impacted by customer project delays or suspensions due to COVID-19 and then update you on our progress and improved visibility for anticipated customer activity over the next two quarters. I'm very pleased to report that our business is regaining its momentum much more quickly than we had anticipated as of our last call. After my remarks Bill Hull will provide more detail on our Q1 2021 results and our solid financial position. First, I want to commend and thank the entire Orion team again for all of their hard work and dedication during what has been a very challenging period. Having been designated an essential business our U.S. based manufacturing operations have remained open. Our team's commitment to service and excellence remains the foundation of our company and our ability to deliver on our commitment to best-in-class products and customer service. Through this challenging period, our primary concern remains the safety and well-being of our people, our customers and our suppliers. Thus, we have implemented numerous safety precautions and protocols to address COVID-19-related risks and relations. And we continue to evolve our procedures as more data because available. To date, we believe our actions have been very successful. As we had anticipated, our first quarter was substantially impacted by regulatory and customer actions related to the COVID-19 pandemic, temporarily halting work on most large customer projects resulting in total revenue of $10.8 million for the period. Despite the challenges, we were able to generate $3.6 million in revenue from a new construction projects for a very large global online retailer. We now expect approximately $2 million in additional revenue from this customer in Q2 2021 and are optimistic about the possibility of more business going forward. We were also able to improve our gross profit percentage in Q1 2021, compared to both Q4 2020 and the first quarter of our last fiscal year. From an operating expense standpoint, our Q1 2020 results benefited from proactive steps we took during Q4 2020 to reduce our overhead and operating cost in anticipation of the impact of COVID-19 on our near-term business prospects. These actions combined with ongoing operating discipline helped Orion to hold our Q1 2021 net loss to $2.2 million and to a $1.7 million loss on an EBITDA basis. Given the unprecedented circumstances we faced, I'm very proud of the team's operating discipline. I will now turn my comments to our outlook moving forward based on developments since our last call. As reviewed in today's news release, we have begun to see customers restart and refocus on their projects and LED retrofit activity with the planned start or resumption of several key projects. This faster than anticipated rebound in activity provides us greater visibility on the timing and scale of new and existing major customer projects. In particular, our improved visibility is based on the following: one, a faster than expected resumption of activity for our largest fiscal 2021 customer. Retrofit installations restarted this week on the turnkey design build install LED lighting system and controls retrofit project for this customer. While Orion had previously expected installations to restart Q4 2021, we now expect to complete retrofits for approximately 225 of this customers remaining approximately 600 stores during Q2 and Q3 of 2021, with the installations in the remaining 375 stores currently estimated to begin in Q4 2021 and to be completed in fiscal 2022. Through March 31, 2020 Orion had completed approximately 880 locations and provided other products and services to this customer resulting in total revenue of approximately $125 million. Two, Orion has entered into initial, product and installation services contracts with a major global logistics company. Several initial facility projects will commence in Q2 2021. This new customer is anticipated to be a significant source of revenue over time. Three, Orion also recently added a large specialty retailer as a customer and will provide turnkey LED lighting retrofit solutions for its nationwide chain of stores. The project is currently slated to commence in Q3 2021 and is expected to provide additional opportunities in fiscal 2022. Four, the outlook for our automotive customers looks strong for the remainder of fiscal 2021 particularly with Ford, one of our major long-term customers. Five, a slowed -- a slow, but steady rebound in activity from our distribution and ESCO channels as more and more markets reopen and more businesses are able to proceed with retrofit and new construction projects. Six, we are beginning to see additional opportunities with longstanding public sector customers, including the military, the U.S. Postal Service and the Veterans Administration with one project commencing in Q2 2021. And seven, several of Orion's new product launches that deliver superior quality and energy efficiency at very attractive pricing are being well received by customers and are expected to play an important role in driving sales in all three of our legacy go-to-market channels. In general, we are seeing business activity improving. Access to customer facilities is key, whether we are selling products or services. We are currently seeing this improve, but remain cautious as conditions related to COVID-19 can have an impact. As a result of the projects and business conditions mentioned along with improving visibility on other projects, we believe that we are now on track to achieve Q2 2021 revenue of at least $25 million and to achieve a sequential revenue improvement in Q3 2021. Based on these revenue expectations, we also expect to return to profitability in both Q2 and Q3 of 2021. Of course, this outlook is fluid and subject to change based on the impact of COVID-19, business and other economic factors and their impact on our customers' decision-making. Importantly, given the national reach of many of our customer projects, we will manage our workflows to avoid hotspots and focus on regions that are more likely to provide access to customer facilities. Longer-term based principally on a growing base of large national account relationships and opportunities, we believe Orion remains well-positioned for our fiscal 2022 results to return to at least the levels we achieved in fiscal 2020. This confidence is based on the strength of our product offerings, our turnkey design, build, install capabilities, our expanding base of expertise and tying in various IoT Monitoring & Control Solutions and launching our lighting and electrical service/maintenance business. We are committed to providing investors with a sense of how we feel about the business each quarter. However, we caution that even under normal circumstances, customer activity is subject to sudden scope and timing changes that can impact the quarter or year into which revenues fall. Until the economy fully reopens and our customers can all return to a more normal state of operations, providing visibility on the future financial performance will remain more difficult than normal. With that overview, let me turn the call over to Bill Hull for additional perspective on our fiscal quarter financial results.
Bill Hull: Thank you, Mike. Orion's first quarter revenue decreased to $10.8 million compared to $42.4 million in Q1 of 2020 with decreased product sales and services related to suspensions and delays of LED lighting and control projects. Product revenue decreased to $9.7 million from $32.3 million in Q1 of 2020 and service revenue decreased to $1.1 million from $10 million, also due to decreased installation and services, including a significant pause in LED retrofit activity for our largest customer, which has since resumed in Q2 of 2021. First quarter gross margin percentage increased to 24.4% compared to 24.3% in Q1 of 2021 and was also above our Q4 2020 gross margin percentage of 22.3%. Our Q1, 2021, gross margin percentage was positively impacted by a revenue mix that included higher-end products and a lower percentage of service revenue, offset by the impact of fixed manufacturing costs on lower plant volumes. Operating expenses were reduced by 23.6% to $4.7 million in Q1 of 2021, compared to $6.1 million for both Q1 and Q4 of the prior year. The decrease reflects proactive and timely steps taken to reduce our overhead and operating costs in anticipation of the COVID-19 slowdown. These measures were largely implemented in quarter four of 2020. Therefore, we saw the full benefit in Q1 of 2021. Principally reflecting lower revenue, Orion's first quarter net loss was $2.2 million, or $0.07 per share, versus net income of $4 million, or $0.13 per share, in Q1 of 2020. On an EBITDA basis, our loss was $1.7 million in Q1 of 2021, compared to a positive EBITDA of $4.6 million in Q1 of 2020. The company used $7.7 million of cash in operating activities in Q1 of 2021, reflecting our net loss, as well as investments in working capital to support an anticipated ramp in business volume for the rest of the year. We also used $10 million of cash to repay our revolving credit facility, which we had fully drawn in March as a precaution, given the significant uncertainties related to the COVID-19 shutdown. Now, we believe, both our business and the lending environments have improved significantly. At June 30, 2020, Orion's cash and the cash equivalents were $10.8 million versus $10.2 million at June 30, 2019. Shareholders equity also improved to $29 million from $22.1 million in the prior year period. As of the close of the first quarter, we also had $6.5 million of unused borrowing capacity available to us on our revolving facility. We believe our cash on hand and expected future cash receipts; combined with our unused borrowing capacity, provide a very strong financial base for the company. Further, as of our fiscal year-end, we had net operating loss carry-forwards of approximately $75 million for federal tax purposes and $62 million for state tax purposes, which will also benefit the company from a cash flow basis going forward. In other words, net income should largely be shielded from taxes for the foreseeable future. And with that, let's open the call to questions. Operator?
Operator: Certainly. [Operator Instructions] And our first question comes from the line of Craig Irwin with ROTH Capital. Your line is open.
Craig Irwin: Hi. Good morning and thanks for taking my questions.
Mike Altschaefl: Good morning, Craig.
Craig Irwin: So, Mike, you listed several positive things going on and I like that, but I really just wanted to hone in on the two new customers you're really announcing in the release today. And actually, specifically, the logistics customer. So in the release you said several new facilities will start implementation in your second fiscal quarter of 2021, so the September quarter. Can you maybe update us on the timeline for completion of an individual facility with that customer? Is this something that's done in a matter of a couple of weeks? And how long the lead times are for capturing individual facilities versus completing them? And then, if you could maybe give us an idea of sort of the total number of facilities roughly that this customer has are we talking in the hundreds or thousands? And how many do they typically add in a given year?
Mike Altschaefl: Hello. Craig?
Craig Irwin: Mike, sorry. I'm trying to be really politically correct on the questions. Did you hear my question?
Mike Altschaefl: I did Craig. Yes. I'm good sorry. I quite frankly made a mistake on my mute button, so I apologize. I was already answering. So Craig, thank you for your questions. I apologize to our audience. And so let me talk about that customer a little bit, we are very excited about that customer. In particular we're excited because, they do have ability to be quite substantial for us. And we've talked about them a little bit the last couple of quarters coming along. But the great step we've taken this quarter is we do now have contracts in place with them for both products and services, as I mentioned. What's going to be different about this customer than our largest customer in fiscal 2020 is that, it's not just one project with this customer of rolling out to their locations. This customer does their projects on a location-by-location basis, as their facilities are in need of retrofits or they're constructing new facilities. So we're going to get business from them just on a flow basis if you will, as they choose to use us for their either product and/or services on facilities, as we go forward. The second part of your question is that, most of these facilities would be completed relatively quickly. These are probably one-to-two-week-type projects that will flow through very quickly, on these individual sites that we have. And we've not mentioned the name of this customer for both competitive and contractual reasons, like our other major customer, Craig. But I will say, they do have a substantial number of locations. And it's not hundreds. It's much more than hundreds of locations that they do have, on a global basis and particularly in North America. So I hope it answers most of the questions, you asked Craig?
Craig Irwin: No. That definitely does. That's very helpful. So I should say a, very big congratulations, because I believe this is one of the crown jewel customers in the market, we should say.
Mike Altschaefl: I'm very excited about it. So thank you.
Craig Irwin: As I'm I, the other customer you discussed in your release, as a new customer. I guess you are identifying them, as a large specialty retailer. There are a number of large specialty retailers that have been pretty chunky contributions to other companies, over the last several years, mostly on the initial build and retrofit -- or the build-out of space, not so much the retrofit.
Mike Altschaefl: Yeah.
Craig Irwin: Can you maybe clarify for us, if this is a retrofit-driven opportunity of this customer? And do they have plans to potentially do all of their sites or most of their sites, the way we've seen from your number one customer from last year?
Mike Altschaefl: Sure. Yeah. It is a specialty retailer. And this is a retrofit. And we expect if we continue to be successful with them. And they are satisfied with our performance that they would be rolling this out to most of their facilities across the nation. And so the footprints of those locations are smaller, than the footprint of our largest customer bask in fiscal 2021. But they do have a sizable number of locations across, the United States.
Craig Irwin: And then, an important question here is your anchor customer for your last fiscal year had a pretty custom solution that you provided them, something that allowed them to avoid depreciation charges on the retrofit of fixtures. Can you maybe discuss with us whether or not there are custom or semi-custom products that you've developed for these two new customers that would provide the same, let's call it a moat that your customer – your anchor customer from last year that you're still serving now where other people don't offer that same solution. Do you have that custom semi-custom product for these two new customers that's unique and got something special for them the way you did for let's just say customer number one?
Mike Altschaefl: Right. Well the two newer customers that we are talking about today and you're asking questions about in both of their facilities they have a variety of fixtures that are involved in these retrofit projects for them. And so it is a mix of different fixtures where we are encouraged; however, part of the main part of the fixtures for both of these are newer high bay LED fixture that we launched into the market a couple of quarters ago and we're seeing really good success with it. So it is a – I'm going to say it is a somewhat standard product Craig but each of these situations there's usually some bit of customization either in the Kelvin temperature that the customer wants or other modifications might be needed for them. And so it is kind of a combination of some standard product and some modifications to make them more unique for that customer.
Craig Irwin: And then last question, if I may before I jump into the queue. Customer number one your anchor customer from last year that's still here this year and is going to be a great customer in the back end of the year. Customer number one, at the front end margins were a little bit lower. Part of that was a scale issue as far as purchasing leverage, which I think is well behind you at this point. And I'm sure there was a little bit of learning as you implemented the first facilities. Are we likely to encounter something like this as you come on to customer number two and three here. These two new large customers that are coming on. And well, I guess that's the question. Do we have potential front end margin issues?
Mike Altschaefl: Yes. Generally I would say not to the extent we had with that very large customer last year. And everything is competitive and we need to be competitive in the marketplace and that's how we look at our development of products and our pricing as we look into the marketplace. What we really were excited about this particular quarter is that we did have margins at the level that they were even with the very substantial reduction in volume. And so you have a combination of two things going on. The mix of product was such that we had very solid margin on our products that we were able to sell. And we also were able to therefore offset some of the under absorption on our fixed costs. So I think I would not look at the impact on margin as significant as it perhaps was ramping up for our first large customer. Craig.
Craig Irwin: Great. Thank you for that. Congratulations on this tremendous win. I’ll hop back into the queue.
Mike Altschaefl: Thanks for the questions. I apologies for the – really I missed you on my part. Thanks, Craig.
Operator: Thank you. And our next question comes from Eric Stine Craig-Hallum. Your line is open.
Eric Stine: Hi, Mike. Hi, Bill.
Mike Altschaefl: Good morning.
Eric Stine: Good morning. So I can – hello so – and I can totally understand lack of visibility in the current environment. But just from a high level, when you think about fiscal 2022 and the – and great to hear the commentary that you have increased confidence that you'll return to fiscal 2020 levels, but you're going to have work remaining a pretty nice chunk from your – from the big customer that you've been working through. I mean but do you envision it as that customer and maybe one other large customer that you have visibility into right now from your pipeline, or do you view that as it's going to be a much more diversified mix of maybe smaller overall contracts but something that's a lot across different end markets?
Mike Altschaefl: Yes. Our goal as a company, Eric is to be more diversified. We've appreciated and have enjoyed the financial and operational benefits of having a very large customer last year. They're going to be a great customer for us in this fiscal year and most likely in fiscal 2022. But we also understand long-term, we're going to add more value to this company by having a more diversified or an additional diversified customer base. So, I do not see it being based on just one or two huge customers in '22. We think with some of the progress we've made with our credentials the momentum we see things we've talked about today and other things on the drawing board and in the harbor from a proposal standpoint that we're working on that we think we can be in '22 at similar levels of '21 with more customer diversity than we had in fiscal 2020.
Eric Stine: Okay. And then, I mean just based on your commentary today, should we also expect that it may not be the result of some big contract announcements, but rather it's kind of that steady business. And I guess it depends for every customer, but it seems like that may be the case rather than the big awards that you have been able to announce in the past?
Mike Altschaefl: That's hard to predict at this time. I think, it's going to be a combination. For example, the specialty retailer we talked about today, we are not quite far enough down the path to give more visibility to everyone about what the magnitude of that could be, but it's a great new customer for us. And there are others that we're talking with in the -- both the -- in the public sector that could be quite significant for us going forward. So I am -- I think, it's good to have a mixture of some very large customers. It's great to have a large group of midsized customers and you need smaller customers that help with the flow business and keep things moving and developing a larger customer. So we're excited to have all size of customers as a company. Obviously, last year '20 -- fiscal '20 it was rather an outsized customer. And I think for us to say, we're going to have three of those going forward would be very optimistic. And so, I think this will be more of a mix of different size customers going forward Eric.
Eric Stine: Got it. Maybe last one for me, so, just hearing from some other covered companies in the ESCO space that the value proposition to customers that maybe have challenged budgets of energy savings at no upfront cost is pretty appealing right now. Is that something that you think has played into what you're seeing in the ESCO space now? And is that something that would be consistent or you think could be a positive going forward?
Mike Altschaefl: The rebates and other incentives through utility companies and other public entities continue to be favorable for what we are doing. And so, that certainly helps from an economic standpoint as customers and we work with them to demonstrate the return on investment, having those front-end rebate dollars, have a really nice impact. And currently it's still been good. Those things get looked at each year by those public entities, but we see no changes. And I think it fits in well with the aspect of reducing energy costs, reducing carbon footprint that one could probably expect those things would positively continue in the future. So -- and that -- that's area ESCO's play very strong and significant in that area. And ESCOs have been a great customer base for us. So yes, I think that's going to play positively having those availabilities out there. And then secondly my opinion is that there also continues to be adequate amount of financing available in the marketplace for large energy projects from the general financial markets not just through rebates and such. And so the capital is out there. To us, it's more of the companies making decisions to allocate their capital to projects which we're encouraged by. And then lastly, just the access to facilities is kind of a more near-term situation of impacting the business.
Eric Stine: Okay. That’s great. Thanks.
Mike Altschaefl: Thank you, Eric.
Operator: Thank you. And our next question comes from the line of Amit Dayal with H.C. Wainwright. Your line is open.
Amit Dayal: Thank you. Good morning, Mike. Good morning, Bill.
Mike Altschaefl: Hey good morning Amit.
Bill Hull: Good morning Amit.
Amit Dayal: Could you clarify Mike please -- the 600 stores that are remaining with your national account customer? How much do you expect to recognize from these 600 stores once they are fully deployed?
Mike Altschaefl: Well, I think probably the way you could look at it might be to look -- one of the reasons last quarter and then again this quarter, we indicated what we did through fiscal March 31, 2020 where we had done 880 locations and cumulatively had revenues of $125 million. So, I probably would point you in that direction of saying that gives you a feel since there are so many locations and things average out of what one might expect from that base of customers. And so with that you could look at the $225 million that we expect to do during the next couple of quarters. And what might be there for the remaining stores 375 stores during Q4 of '21 and end of fiscal 2022.
Amit Dayal: Understood. So similar proportion. I got it.
Mike Altschaefl: Yes.
Amit Dayal: On the margin front you're sort of approaching the mid 25% levels. Even with lower volumes just wanted to see if with pick up in volumes you could see some margin improvements, or should we be sort of looking for these to stay at current levels for the near term?
Bill Hull: Amit this is Bill. So I think the way I would think about it, this quarter we had some higher-end margin product went out. We had lower service costs -- or lower service revenue at lower margin that helped us really have a pretty decent margin for $10.8 million in sales. Right now I would say that if you take a look at our fourth quarter of fiscal '20 that we just recently closed we were at about 22.5%. So as we kick up and pick up some of this other business, I would think of it as about there right now. Hopefully we could do a little bit better than that but that's kind of where I'd think about -- for the near term let's say. Of course our goal is always to try to improve it take more cost out. And we're bringing people back. So you could have some inefficiencies as we start back up but we got pretty efficient last year with everything going on.
Amit Dayal: Understood. Just one final one for me. With respect to new products I know you had talked about some bacteria-related lighting offerings et cetera. Are those still in play? And are these being considered as a part of the new deployment opportunities? Is there any color on how you're thinking about inducing these new in's would be helpful?
Mike Altschaefl: Yes. No they certainly are still in play much as we discussed on our last call in the last press release Amit and a couple of that we're working on is we've had an existing call -- a violet light technology that attacks bacteria that we've had in the marketplace for several years. And so we continue to work with that product and improve that product and we have had seen good activity with respect to that product in our LDR-E or Troffer product for retrofit applications. So that's on the one side of that kind of violet light at 405-nanometer type product. Secondly there's been certainly a lot of discussion and news and media related to ultraviolet light which has been in use for disinfecting and for breaking down viruses and attacking viruses for many, many years that has been used. And so we are looking at that. That is new for us. We are exploring it. We have said we're working at perhaps introducing that into product in conjunction with some air movement product that we work with a partner on. And those things hopefully can come together for us later in the calendar year from a product standpoint. So we are continuing to look at those -- those two in particular with respect to both bacteria and with respect to viruses. And the other more niche type products we continue to do work on those and look to keep developing products.  And then lastly I would just say we have been very pleased with our more standard product offerings. Both the high bays that we've rolled out some new area lights that we are rolling out with our customer base that we think are going to be very well received. And so the niches I think will continue, but we also will continue our baseline and our go to product to keep being competitive in the industry.
Amit Dayal: Understood. Thank you so much guys. That’s all I have.
Mike Altschaefl: Thank you Amit. 
Operator: Thank you. And our next question comes from Marc Wiesenberger with B. Riley. Your line is open.
Marc Wiesenberger: Thank you. Good morning. With the retrofit activity for your major national account project restarting earlier than anticipated can you provide some insight into what factors prompted the restart? And maybe what factors might cause them to retrench if at all?
Mike Altschaefl: Sure. Well I think first as we previously discussed we were in midstream with that customer in the middle of March of this year when they decided they needed to abruptly stop the project and that was their decision. And we believe our understanding is it was related to just safety and protocols with respect to COVID-19. But that was the -- that is our understanding. We think -- I would tell you that our judgment is the reason for implementing it sooner than what we had previously anticipated is a couple of things. I think number one this project has been very energy effective for this customer, of reducing energy costs in the locations where the retrofits have taken place over 60%, resulting in a very nice payback for this particular customer. So I would assume that one of the reasons they were started earlier is to again get those savings flowing, because the longer you wait, the more savings that you lose. I think there's a second really important one that is -- I'm going to say is more judgmental and qualitative and quantitative is that I think there's a -- while it's frustrating out there from a business standpoint with COVID-19 and the impacts, I think there's also a realization this is going to be around for a while perhaps to deal with. And therefore, we have to keep finding good balanced protocols and to keep business moving. And so, I think part of it is just saying we got to start moving some stuff. We got to be safe. We got to be careful for our people and people working on projects, et cetera. But, we may all be under some of these restrictions for, perhaps a much longer period of time than many of us thought, even two or three months ago. And so, that's just my opinion but, I think that's also part of it as we're going to have to face the fact that you got to keep moving forward and you might have some bumps along the way and some starts and stops, but you got to keep things moving directionally forward.
Marc Wiesenberger: Understood. And along those lines, can you talk about any changes that are going to be needed to be implemented on job sites? And how would that potentially impact the services gross margin going forward?
Mike Altschaefl: Yeah. Certainly, we have implemented more protocols both within our facilities in terms of many different things, access to our facilities, how we work with our members in our assembly and fabrication area to provide safety for them. But to your question, on site, yeah, we have a combination of our own protocols that we've put in place for our people to increase the level of safety and then we likewise need to be responsive to the protocols that our customers have. And so, we will certainly go with the more restrictive of either of those that we have and then you have local protocols in place also. Those are going to have some impact on cost. It's hard to estimate those completely right now at this point in time, and probably some impact on efficiency. But at this point, we don't see it as being that material from a margin standpoint of some of the additional safety protocols and operating protocols that we have to put in place. But time will tell as to what happens. I think it perhaps, is going to be more the starting and perhaps stopping. If there is an incident at up site location where the customer says we need to take a break for a week, before we start back up again. But, the kind of starting and stopping probably is a more cost to us than the increased day-to-day protocols we are putting in place.
Marc Wiesenberger: Got it. Thank you. And then along the lines on the new construction business, can you talk about the dynamics associated with securing these types of projects relative to the kind of large retrofit projects? And to the context your revamped national sales team have translate into making a bigger push into potentially the new construction business?
Mike Altschaefl: It's really a combination. It is partly through our national accounts business when we have customers that are going into new -- expanding into new locations. And in fact, as an example, our very large customer from fiscal 2020, as they are doing new construction for additional locations, we are being largely considered for those to do the initial installation of fixtures into their facilities. I also would say that new construction is also -- is accessible for us through our Orion distribution services or ODS segment as well as our ESCO segment through our U.S. markets division. So, both of those would tend to work with both retrofit and new construction. In many cases, new construction is coming up through the distribution side, because it comes up through the architects and engineers, and somewhat of a longer process in a more defined process. So it's a little less usual for us to be direct with the end user on new construction, particularly, when it comes up through our distribution side of our business or the ESCO side, but it can also happen with our national accounts. And an example there is Toyota has a lot of facilities. We continue to work with them on retrofits, but they also are building a new facility where we have the opportunity to provide new construction support to them.
Operator: Thank you. And our next question comes from the line of Craig Irwin with ROTH Capital. Your line is open. 
Craig Irwin: Thank you. Mike just as a follow-up. So the Tier 1 customers that you're capturing these days tend to like buying all of their fixtures from one vendor. It lowers cost for them. It simplifies not just the frictional costs for purchasing the fixtures, but makes it a lot simpler from accountability. And -- can you maybe describe for us whether or not there is a potential need or opportunity to diversify away from your strength in high bays. Would you potentially introduce new products specifically for these customers that could be offered into other adjacent markets. And may that not be needed, or is this something where you would be more likely to manage third-party supply directly?
Mike Altschaefl: Yes. That's a great question. First of all, certainly our strength in the marketplace has been our high bay product in our retrofit Troffer product for ceiling grid, ceiling drop ceilings. And then also our sealed product which is used a lot in agriculture, food processing and other areas where you have to protect from the environment. So probably would put those three as kind of our main three product lines. And we've had a nice array of area products in the past and we are expanding that right now. So in many cases Craig, I think, we have the current products in place to handle a substantial portion of what's on most of the needs for commercial and industrial projects. Would answer your -- kind of answer to the question in two different ways. Number one there are plenty of opportunities for us to locate and find third-party providers of certain niche or certain product lines that we may not cover. And we've got a good great sourcing group in place and the contacts in place to do that where we need to. And it's kind of a benefit to be able to as you said fill the gap or there are other things that the customer may want to have. And then secondly because we do have the design capabilities and the manufacturing capabilities if there's a substantial volume to something that is specific or unusual, we are always open to developing that with customers. And we've had situations where customers have a need for a very specific type of light strip fixture or something that's going to fit into what they're currently doing and we'll design one to make it fit for them. We continue to think having the U.S.-based manufacturing footprint that's very, very efficient. And then linked with sourcing product internationally where it makes sense is a great combination and we think that's going to continue for us going forward.
Craig Irwin: Excellent. And then another question. So of these two new customers that we're talking about a bit on this call does either one of them have the potential to maybe be similar or potentially larger than your anchor customer from the last fiscal year to either of them have a total annual lighting buy that exceeds what you saw from your anchor customer last year?
Mike Altschaefl: I'm not going to get overly specific on that Craig, but I would say that the major global logistics company that we've talked about from our understanding of their annual lighting buy and facilities and future plans that we continue to believe that could be of very substantial customer, if we continue to perform and be a valued supplier to them. So I would put that one that could be in that kind of category.
Operator: Thank you. And I'm not showing any other questions at this time. I would now like to turn the call back to Mike Altschaefl for closing remarks.
Mike Altschaefl: Thank you, Sidney. Again, I would like to thank the Orion team for the dedication, hard work and operational excellence that limited our losses during the most severe COVID-19 shutdowns in Q1 and have left us in great shape to return to profitability going forward. While the COVID-19 situation has been a temporary interruption into our progress, I'm very confident that Orion is regaining its momentum. During the current period of physical distancing and traveler constraints, we've been unable to visit face-to-face with our shareholders and potential investors, but we do intend to participate in several upcoming virtual conferences including LD Micro in early September, H.C. Wainwright in mid-September and Craig-Hallum's Alpha Select Conference in November. Please join us for these events or contact our IR team with other questions or schedule a call with management. The IR contact information is included on today's press release. Thank you again for your time today. We look forward to updating investors in our fiscal 2021 Q2 call in November. Thanks and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.